Operator: Good afternoon. Welcome to Aviat Networks First Quarter Fiscal 2026 Earnings Call. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Andrew Fredrickson, Interim Chief Financial Officer. Thank you. You may begin.
Andrew Fredrickson: Thank you, and welcome to Aviat Networks First Quarter Fiscal 2026 Results Conference Call and Webcast. You can find our press release and updated investor presentation in the IR section of our website at www.aviatnetworks.com, along with a replay of today's call. With me today are Pete Smith, Aviat's President and CEO, who will begin with opening remarks on the company's fiscal quarter, followed by myself to review the financial results for the quarter. Pete will then provide closing remarks on Aviat's strategy and outlook, followed by Q&A. As a reminder, during today's call and webcast, management may make forward-looking statements regarding Aviat's business, including, but not limited to, statements relating to fiscal guidance, financial projections, business drivers, new products and expansions and economic activity in different regions. These and other forward-looking statements reflect the company's opinions only as of the date of this call and webcast and involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. Additional information on factors that could cause actual results to differ materially from the statements expressed or implied on this call can be found in our most annual report on Form 10-K filed with the SEC. The company undertakes no obligation to revise or make public any revision of these forward-looking statements in light of new information or future events. Additionally, during today's call and webcast, management will reference both GAAP and non-GAAP financial measures. Please refer to our press release, which is available in the IR section of our website at www.aviatnetworks.com and financial tables therein, which include a GAAP to non-GAAP reconciliation and other supplemental financial information. At this time, I would now like to turn the call over to Aviat's President and CEO, Pete Smith. Pete?
Peter Smith: Thanks, Andrew, and good afternoon. Let's review the highlights from the first quarter. Total revenues of $107.3 million, up 21.4% versus the year ago period. Non-GAAP gross margin of 33.8%, adjusted EBITDA of $9.1 million, non-GAAP EPS of $0.43. These quarterly results represent a good start for Aviat in achieving our goals for fiscal 2026 and are a good return to performance versus our year ago Q1. I'd like to thank all of Aviat's employees, partners and customers for playing a part in this quarter. Let's discuss our end markets and key developments. Private networks remain a core area of focus for Aviat Networks. In the first quarter, we secured a number of meaningful project bookings across public safety and utility networks. The strong state and local government budgets continue to set the stage for a good fiscal 2026 environment for our private network opportunities. In the utility vertical, we continue to grow our funnel by pursuing the cross-selling opportunities from the 4RF Aprisa acquisition. These efforts and our end-to-end portfolio and turnkey solutions have resulted in a number of meaningful bookings with utilities, including one large multistate and multiphase network modernization project worth approximately $8 million. We expect to have more large wins in this segment, thanks to our unique product offering, which includes our access and router solutions, our backhaul radios such as our IRU 600 ultra-high power microwave radio and our ProVision Plus and frequency and health assurance software, all combined to offer utilities and other private network operators leading performance and lowest total cost of ownership. I am also pleased to announce the launch of our Aprisa LTE 5G router solution for police, fire and emergency vehicles. Public safety has long been our leading segment within private networks, and this is a major step in expanding our solutions offering for these customers. This solution addresses a critical segment of this market that is entirely new to Aviat. The global cellular router and gateway market is expected to grow at a 12% annual rate and reach $2.8 billion in annual revenues by 2028. This growth is driven by the increasing demand in applications like real-time data sharing and video streaming and GPS tracking across a wide range of connected devices, including mobile data terminals, body-worn cameras, sensors and surveillance systems and vehicles of all kinds. This solution is made in the U.S.A., is available now and supports all major frequency bands, including FirstNet and is certified by all the major carriers in the U.S. and many international carriers. Please reference Slide 9 in our investor deck for more information on this opportunity for Aviat. As part of this product rollout, we have also enabled our ProVision Plus software to help simplify the complexity inherent with 5G networking for public safety mobility applications that also provide carrier coverage visibility and vehicle tracking to increase productivity, reduce downtime and minimize security risks, all while lowering operating costs. The introduction of this offering is also significant as it builds on the technology acquired in the 4RF acquisition and validates our ability to not only identify and acquire the right technology, but to successfully integrate it, build upon it and leverage it to create new high-value solutions for our target markets. We're excited to see where this offering goes. Before moving on to our mobile service provider business, let's briefly address the U.S. federal government shutdown and its impact on Aviat. Roughly 5% of our business is with the federal government. So from that perspective, we do not anticipate a large impact. We saw some small opportunities where the timing was accelerated to beat the shutdown in Q1, and we also anticipate that some opportunities will be pushed out until after the shutdown is over. Most likely, this will mean some revenues are pushed out of our fiscal second quarter, but that they will come back in the third quarter. If the shutdown extends a significant amount of time, its impact to our business will become harder to predict. At this time, though, we do not believe that the shutdown will have a significant impact on Aviat's FY '26 business. In regards to our mobile service provider market, we continue to gain traction both in North America and globally. The operating environment continues to strengthen for Aviat versus a year ago, and we remain positive on the setup for fiscal 2026. In North America, we continue to make good strides with our Tier 1s. In regards to BEAD, we continue to see fixed wireless access and other wireless solutions as growing beneficiaries of the program. We believe wireless makes the most sense for the performance per dollar and the speed to deploy. We still anticipate that Aviat will not see any benefit from BEAD until calendar 2026, likely in the back half of the year. I would now like to turn the call over to Andrew to review the financial results of the quarter before coming back for closing remarks.
Andrew Fredrickson: Thanks, Pete. I'll review some of the key fiscal 2026 first quarter results. Please note that our detailed financials can be found in our press release and all comparisons discussed are between the first quarter of fiscal year 2026 and the first quarter of fiscal year 2025, unless otherwise noted. For the first quarter, we reported total revenues of $107.3 million as compared with $88.4 million for the same period last year, an increase of $18.9 million or 21.4% year-over-year. North America, which comprised 49.1% of our total revenues for the quarter was $52.6 million, an increase of $10.4 million or 24.7% from the same period last year due to growth both in private networks and mobile network operators. International revenues were $54.7 million for the quarter, an increase of $8.5 million or 18.3% from the same period last year. This was driven by increased mobile network operator business versus a year ago and growing private network demand. Gross margins in the first quarter were 33.2% on a GAAP basis and 33.8% on a non-GAAP basis. This compares to 22.4% GAAP and 23.2% non-GAAP in the prior year. The change in gross margin is primarily due to regional and product mix in the quarter in addition to higher volumes in this quarter as compared to a year ago. First quarter GAAP operating expenses were $30.5 million, down versus $35.4 million in the year ago period. Non-GAAP operating expenses, which exclude the impact of restructuring charges, share-based compensation and deal costs were $28.4 million, a decrease of $1.7 million versus the prior year. This decrease is due to disciplined cost management and increased efficiencies at Aviat. First quarter operating income was $5.2 million on a GAAP basis and $7.9 million on a non-GAAP basis. This compares to a $15.6 million GAAP loss and a $9.5 million non-GAAP loss in the year ago period. The first quarter tax provision was $2.3 million. As a reminder, the company has over $450 million of net operating losses or NOLs that will continue to generate shareholder value via minimal cash tax payments for the foreseeable future. First quarter GAAP net income was $0.2 million and non-GAAP net income, which excludes restructuring charges, share-based compensation, M&A-related and other nonrecurring expenses and the noncash tax provision was $5.5 million. First quarter non-GAAP EPS came in at $0.43 on a fully diluted basis, up by $1.30 versus the year ago period. Adjusted EBITDA for the first quarter was $9.1 million or 8.5% of revenues, an increase of $16.8 million versus last year. Moving on to the balance sheet. Our cash and marketable securities at the end of the first quarter were $64.8 million. Our outstanding debt was $106.5 million, bringing our net debt position to $41.7 million. With that, I'll turn it back to Pete for some final comments. Pete?
Peter Smith: Thanks, Andrew. We are pleased with the start of fiscal 2026 and look forward to continuing to execute our strategy to capture additional share of wallet in private networks and win more share of demand within mobile networks. We are maintaining our annual fiscal 2026 guidance unchanged at full year revenues to be in the range of $440 million to $460 million, full year adjusted EBITDA to be in the range of $45 million to $55 million. With that, operator, let's open up for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Scott Searle from ROTH Capital Partners.
Scott Searle: Nice job on the quarter, Pete, Andrew. Just real quickly, I know you're not updating or expanding guidance in terms of the fiscal year given the current macro environment, and we're only in the first fiscal quarter. But I'm wondering if you can comment on the sequential outlook as we're going into December. I would assume there's some seasonal uptick there. And along those lines, where are you expecting the strength to come from? Is it from Tier 1 North American providers? Is it private networks? Or are you seeing something going on from an international standpoint?
Andrew Fredrickson: Yes. I think U.S. public safety is perhaps the strongest, and that's going to give us a quarter-over-quarter lift. So we feel -- Scott, we feel good about that. We also want to be cautious that it is early in the year and the government shutdown, while it's a small part of our business, we just want to be conservative, and that's why in our remarks, we feel increasingly confident about FY '26. We just don't want to get over our skis on the December quarter. That's -- I mean, so we could start the dialogue about Pete and Andrew are conservative. We will take that criticism. But we see significant strength right now in U.S. private networks, principally driven by public safety.
Scott Searle: Okay. Fair enough. And then just in terms of some of the specific growth categories, 4RF is something you guys have started to talk about more recently have seen some strength there. You've identified public safety. I'm wondering how big this opportunity could be as you start to think about where we could be if you look out several quarters from a 4RF standpoint. And I'm not sure if I heard any update on MDUs in your opening remarks. I'm wondering if you could give us some updated thoughts in terms of what you're seeing there and if that opportunity is expanding beyond the Tier 1 that you were dealing with.
Andrew Fredrickson: You're asking all the questions, Scott. So with respect to the MDU, we've demonstrated all that you could ask with respect to our 28 gigahertz and 39 gigahertz performance. We've demonstrated carrier-grade serviceability. We've demonstrated the MU MIMO. We've had customer links going for almost 2 years, right? We are focused on Tier 1s with this. We're not prepared to give an update on news. But with respect to -- we're not ready to kind of go the next step on the news, but we are making great progress with our customer base, and we feel very confident about our prospects for the future. So that's what I would say about the MDU. I would -- this wasn't a question, but I would also say that in learning about the MDU market, it's aligned with fixed wireless access, which is the fastest-growing segment in all of wireless. And we've started to unlock additional technology sets that will serve us for a couple of years as we explore opportunities outside of our core microwave business into adjacencies. So there's learning that has occurred that will benefit us say it's not in a model, but a couple of years from now, we think that this is a good development for the medium- to long-term future. And then you started to ask about 4RF. And we see good traction in -- I'll go back a couple -- I mean, maybe a year ago. When we looked at their small customer base versus our customer base, -- we're both strong in utilities. And then there was only 11% overlap between their customer base and our customer base. So in terms of an acquisition, the customer or channel synergy is tremendous, and we've owned it for a year and 5 months, and we're starting to see the traction in selling microwave to the historical 4RF customers and vice versa, the 4RF solution into the Aviat utility base, which I would say, if you think about Aviat, our best customers are public safety, our second best customers and channel strength is in utilities. So we're excited about that.
Operator: Our next question comes from the line of Jaeson Schmidt from Lake Street.
Jaeson Schmidt: Just curious if you could discuss what you're seeing in India and sort of what you're baking in from that region into this kind of fiscal '26 outlook?
Andrew Fredrickson: Sure, Jaeson. So I'll take a first answer on that one. So this quarter, we did have a good mix of revenue from India in the quarter, and the margins were relatively favorable there as well. So from that standpoint, this quarter, it was a good mix and result for us. I'd say in terms of the overall fiscal year, last year, India was, call it, a mid-single-digit contributor as a country overall on a percentage basis to our revenues. I would expect them to be relatively the same this year. That being said, we have good customer diversification, both from a geographic and individual customer standpoint. And so we're not thinking about India as being kind of a single driver within our overall business.
Peter Smith: And Jaeson, I would add that I think that there is an upgrade cycle to come in India. I don't think it will be this in our -- the Aviat fiscal year, but I think it could be a growth driver for -- from July through June and our fiscal year '27. So I agree 100% with what Andrew said. And if you want to look out further, I could see India being -- the India upgrade or replacement cycle having an impact, say, a year from now and beyond.
Jaeson Schmidt: Okay. That's really helpful. And then just as a follow-up, when we look at gross margin for fiscal '26, is it fair to expect you guys to be able to kind of grow gross margin sequentially throughout the year?
Andrew Fredrickson: Yes. So this quarter, gross margins were up, especially versus the year ago period, mainly due to overall volumes globally. In terms of looking out for all of fiscal '26, I would say there's some opportunity to grow margins by a percentage point or 2, I'd say, is the most likely outcome. I don't know that it would be kind of sequential. But by the end of the year, I think you could expect us to be kind of at that mid-30s percent.
Operator: Our next question comes from the line of Rustam Kanga from Citizens.
Rustam Kanga: Nice print here. Just one question on the Aprisa Router. Could you just kind of speak to the opportunity there from a competitive displacement standpoint versus your #1 competitor and some of the smaller players there and kind of how you're thinking about that opportunity?
Andrew Fredrickson: Yes. So just to go back to the -- what we call the mobile cellular router opportunity, it's a $2.8 billion market growing at 12%. And we would say the incumbent is principally what Ericsson owns via their Cradlepoint acquisition. Telefonica can be there. You can also think about Semtech. Out of that $2.8 billion, we think we're ready to engage $800 million of that opportunity. We have $0 today. And why -- so why are we talking about this when we haven't done $1 of revenue? It's because this offering is the combination of 4RF, our Aviat's kind of hardware and software platform and our #1 market channel in public safety. And we basically engaged approximately 10 state police or large municipal government police departments. There's no friction. There's a lot of interest in our solution. It will take probably another 6 months, but we think that this is going to be a big growth driver towards the end of this fiscal year going into next fiscal year. And we think we're super excited about it.
Rustam Kanga: Awesome. Great to hear. And then just wanted to touch on federal. I appreciate the 5% of the business metric there. Just curious if you could just help us quantify or maybe ring-fence the magnitude of sort of the accelerated pull-ins and then how much is sort of baked into the guide for Q2 that you said might push into Q3, just how to sort of think of that as a relative mix perspective?
Andrew Fredrickson: I mean worst case for this quarter, maybe 1% pull in. It's really hard to judge. Worst-case push out, and I don't think it will be this bad would be 4% to 5%. And look, I don't want to get trapped in this guidance because if the government opens tomorrow, then we'll have a mad dash to get stuff out because the customer base is going to really want this done. So to be conservative, let's say, the government shutdown doesn't get restored until January, then we have to be a little more conservative. If it opens up tomorrow, then it's not as bad. I know that, that doesn't -- this is one of the reasons we guide on an annual basis. And I know when you put your forecast out, this doesn't help, but I want to be -- say where we're at. Sorry, I couldn't be more definitive.
Operator: Our next question comes from the line of Theodore O'Neill from Litchfield Hills Research.
Theodore O'Neill: Congratulations on the good quarter. Pete, on the Slide 9 here about the cellular routing solution for public safety. I'm just wondering what's the driver here? Do they -- do these vehicles not have routers? Or do they need some -- an updated router? I'm wondering if you could just fill me in on that.
Peter Smith: All right. So a lot of the vehicles, actually, I think most, if not all, the vehicles have routers in them. And what has transpired is there's some dissatisfaction with the incumbents on their price point and their OpEx business model. And then further, we have deep customer intimacy from our public safety microwave networks. We're a trusted provider. We hypothesized that this was going to be interesting for Aviat's growth. And based on the -- our 10 chosen customers' engagement, we see dissatisfaction with some of the functionality, some of the business model with the incumbent, and we have the hardware, the software and perhaps most importantly, the channel and the customer relationships. So that's what I would say.
Theodore O'Neill: That makes sense. So you're already the incumbent provider for other parts of the network. So it just -- it makes it an easy sell.
Peter Smith: Yes. And to be kind of maybe overly specific, the procurement person for the microwave public safety network typically is a couple of doors down from the person that's responsible for the technology that goes into the emergency vehicle or the...
Theodore O'Neill: Yes. Okay. And my other question is about the multi-dwelling unit fixed wireless broadband. So Verizon acquired Starry Group Holdings, so they could go after that market. And I was wondering what that acquisition means for Aviat, if anything?
Peter Smith: Two, I think, first, it validates our effort in the multi-dwelling unit space. If a company like Verizon is going to spend on what we believe to be channel access, we think that, that bodes well for the growth of hardware and software in the MDU space. Also, we did look at the Starry assets. We didn't look at it from a channel perspective, but we looked at it from a hardware perspective. And what I could say is we're a couple of generations ahead of where Starry left off.
Operator: Our next question comes from the line of Egor Tolmachev from Freedom Bank Broker.
Egor Tolmachev: Could you please share a quick update on BEAD program progress you see among your clients and maybe how it will impact your business?
Peter Smith: BEAD. Okay. So on BEAD, we've been super conservative all along with respect to BEAD. And last earnings call, I was a bit more bullish. And the reason we are bullish is now our customers are talking to us specifically about BEAD funding and BEAD deployments. So we are getting significantly more encouraged about BEAD. We see some specifics that there's growing non-fiber support. So Utah and Arizona have quantified the maximum they're willing to pay for a fiber connection, which means that -- so their number in Utah and Arizona, they limited to, I think, less than 15,000. That could swing 40% of the connections to be non-fiber-based. New Mexico is proposing 40% for fixed wireless, which will drive microwave backhaul. Washington is at 39%. And Kansas proposed 50% of locations to be served by hybrid and fixed wireless access. So we think all of these developments and our customer engagement bode well for us capturing some of the BEAD and BEAD funding. And the question we have is, will that be in the March, June or the September quarter? We don't know. But as we get nearer to landing some of those -- or our customers get nearer to deploying some of the BEAD money, we will circle back and update you on our progress and what it might mean for revenue growth going forward.
Egor Tolmachev: And maybe a quick follow-up on your Intercom telecom partnership. Can you maybe provide some quantitative estimates or timing of -- for this partnership?
Peter Smith: The partnership is ongoing. So it's established and it's working. And yes, I think that's about all I could say about the partnership. So thank you.
Operator: This concludes the question-and-answer session. I would now like to turn it back to Pete for closing remarks.
Peter Smith: Thanks, everyone, for joining. I have a few things to point out. We basically lapped the year ago poor performance. Now our adjusted EBITDA is at a level of $54 million. Independent of the cellular router opportunity, we see the public safety market remaining attractive. In the Q&A session, we poked at the MDU, which we see as an emerging market and gets Aviat firmly into fixed wireless access, which would be good. The mobile cellular router is an attractive segment. We see BEAD incrementally moving forward. So with all that, thanks for calling in, and we look forward to updating you on progress in 90 days.
Operator: Thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.